Mahendra Negi: [Interpreted] Now this is the summary of the first quarter, and we have 16% growth in net sales. And we have a 14% decrease in operating income and 25% increase in total operating expenses. And then, we have a net 9% increase if currency exchange rates used for '22 were applied for the first quarter of '23. And on a pre-GAAP basis, so we have these numbers, and it's a negative number for the operating income. But you may remember that in the first quarter in regard to software, there are certain situations. And after the second quarter, there will be changes, so compared to the first quarter, we have these situations. And well, our guidance has not changed in terms of increased sales as well as income. Next, sure, the pre-GAAP numbers. And in the first quarter, you may wonder why we have a decrease from the fourth quarter. But we are seeing that the expenses are still high. And in that sense, we have seen that the income ratio has gone down. But as the net sales increases, then we will see changes taking place. And this is net sales growth by region. And we see growth in all of the regions, especially in Europe and AMEA. And as described here, last year, in regard to the deferred revenue -- for last year, there was JPY 988 million, which should have been recognized as sales. But -- so we have this coming in, in the first quarter. And so therefore, it may seem a bit high here. But if we exclude that, then it would be a negative 3%. And here is the situation if currency rates were of '22 were applied for '23. And then this is by segment. You can see by consumer and enterprise, here is the breakdown. And then in terms of pre-GAAP sales, now we had a major impact because of the currency exchange rates. And within this, there had been price increases as of the April 1, so before that, there was demand that came about and this was about approximately JPY one billion worth. If we exclude that, then it was about 7% or 8% growth. So in the second quarter, we have some that were included in the first quarter. And so if we consider about the second quarter, when compared to the previous year, it may be a negative result. Meanwhile, for the Americas, we had this negative number. You may be wondering why it's minus 10%, but we'll be showing you the numbers about this. Overall, when it comes to the cloud operations, there is a decrease in AWS activity. And so that we have seen a decrease as well. And in the Americas, the cloud-related sales was quite high, and so it has been impacted, and we see continued good growth in Japan. Meanwhile, when it comes to the consumer and the enterprise situation, we hear the -- we see here the pre-GAAP results, and you can see here in Japan, the consumer side is high. And this will be touched upon in Mr. Mikawa's presentation. There's also beyond device security services that is doing quite well as well as our traditional business. And this is the active customer count. The flow has not changed that much. We see growth in the subscription channel. And here are the ARR numbers. As for the numbers, the ARR is calculated. And when we create the budgets, we are converting the numbers. And so therefore, the numbers are slightly different from last year. However, overall, we see a similar growth rate, and in that sense, these numbers can be used. And there's also a 25% increase. You may be pointing out this number. But there has been a decrease in investments and there has been the impact of this felt in this area. There is not much to comment about this area. But in terms of the expenses between the fourth quarter to the first quarter, we see this usually a decrease in the expenses, but we have the wages there which has not been impacted that much. So compared to last year's first quarter, the expenses had increased last year in the second quarter. So we're looking forward to increased net sales in the second quarter, and this is the cash flow situation. There's nothing to comment here. As for the head count, this has been mentioned last year but we see an increase in the head count but we have reduced churn rate. And so there had been a net increase last year. But -- and we're not trying to intentionally decrease the head count this year. Now, there is -- but we have reduced the rate of recruiting compared to last year because we were able to hire. And here's the breakdown of the head count. But we have not frozen the recruiting activities but we will not be recruiting as much as last year. And here's non-operating items. One comment. We have the equity method applied. The equity method is applied. And because of that, we have to take into account the situation there. And there's nothing to comment on the balance sheet. And here is the highlights and the lowlights. For the highlights, we're seeing strong growth continue in Europe and AMEA and both consumer and enterprise business has seen healthy growth and also in Japan. This is a highlight for Q1, but there was pre-booking of renewal revenues due to price increase. As for the lowlights, already, as mentioned, there's a slowdown in ARR because of the situation of the subscription business. And there's overall slowdown in cloud operations and this has impacted the situation in the Americas, and we're seeing a decrease in revenues. And that's my explanation. And the projection for this fiscal year is unchanged. And with that, I would like to close off my presentation, and I would like to answer any other questions that you may have later on. Thank you very much.
Eva Chen: Dear investors, thank you for joining us for the new year's first Q1 Trend Micro business update. Trend Micro has been in the cybersecurity for 35 years now, and we continue to always adapting and always innovation. In the past five years, we've been embracing all this cloud and SaaS transformation. And we are very happy to announce that. We believe our transformation from product to platform are very successful and well underway. We believe our competitive edge against our competitors that is offering the cybersecurity platform are the following three things: first, with Trend Micro, it's very easy to integrate with our existing EPP, the endpoint protection and existing customers' environment, and although, there is third-party integration; second is Trend Micro can best support the hybrid environment, no matter it's half in cloud, half in on-prem or any type of multi-cloud solution. Trend Micro has the best support for hybrid environment; and third, Trend Micro understand how the IT operation work and also the innovative Vision One can support the security operation centers work. And therefore, Trend Micro's products can work across IT and SOC operations. With this advantage and our platform transformation already underway, we are very confident and have our road to 2025. We can see Trend Micro in 2025, we will cross $2.5 billion of gross sales, we will have $1.5 billion of ARR, annual recurring revenue, and we will achieve the rule of 40, which is the profit margin plus our growth rate will cross 40. And we will have more than JPY 100 million protected assets. No matter, its desktop, its consumer, everything. We will have more than 500,000 enterprise SaaS customer. And we will exceed consumer customers -- 18 million consumer customers. That's our whole company's road to 2025. And -- although these are growth transformation in both consumer and enterprise, are all underway but they are in different pace. And therefore, we would love to -- starting from this quarter, we will talk about different transformation between consumer and enterprise business. From 2027 -- 2017, consumer business was 26%. Until 2022, consumer business is only 22% of overall Trend Micro's business. And also, the distribution and how they progress in different countries and regions are very different, as you can see. Japan has majority consumer business, 46%; AMEA, only has 12% of consumer business. Europe is almost 100% is enterprise business, and America has 18% of consumer business. Those are different country distribution and different pace of the company's transformation. So even though Trend Micro under the same brand, global brand, we are going through this refresh and activation of risk to resilience or tool, and very successfully we're transforming Trend Micro's overall brand from a traditional product cybersecurity company to a cybersecurity platform company, but they are under different pace. And therefore, starting from this quarter, I will introduce our COO, Kevin Simzer. He will introduce in more detail about our business progressing both in enterprise business and in consumer business, it's the business health operation. Hope this new information will help you even more understand about Trend Micro's future and our business operation. Thank you.
Kevin Simzer: Thank you, Eva, and Mahendra. Hi, everyone. My name is Kevin Simzer, and I'm the Chief Operating Officer for Trend Micro. We thought it would be helpful for you to get a better idea of what our long-term plans are for our enterprise and our consumer businesses and a little bit more insight as to where the growth is coming from. Let's jump in. From an enterprise perspective, all of these numbers that I'm about to share are non-GAAP numbers. Therefore, for reference purposes only, and they give you an idea of how we're thinking about the business and where we think the growth is going to come from. All of the numbers are in U.S. dollars. They've been converted at the exchange rate below in order to give you some comparables. From a road to 2025, our long-term plan, we're targeting $2 billion in sales -- gross sales by 2025. We've been transforming the business, and that means we've been driving more and more subscription SaaS business, and that is $1.5 billion target by 2025. Of course, it all comes down to customers. How are we doing -- what have we set for a target there. We've set 100 million protected assets. A protected asset is a desktop or a laptop. It could be a virtual machine in a modern data center. It could be a cloud workload in a hyperscaler or a container. And then ultimately, where it really matters is how are you doing at growing your customer base. And we're targeting 500,000 SaaS enterprise customers by 2025. We feel like the markets that we're in, give us lots of room to expand and grow. We sell in the IT infrastructure buying center. That's where we are selling our endpoint protection, our e-mail security, our network IPS. In the SOC buying center, of course, the hottest topic right now is XDR and our market-leading platform is doing well there. From a cloud buying center, we're definitely jumped on this one quickly over the years, and we attached ourselves to hyperscalers and that's where we're protecting applications that are running in a cloud environment. We're doing all of this with our unified cybersecurity platform, one of the broadest in the market. And it all starts with attack surface risk management, where we get a good idea of what your overall -- a customer's overall attack surface looks like, we can sprinkle over top of that our threat intelligence and get a good idea of where the most important assets are that you should be protecting, and we can provide the protection. From a Q1 perspective, we saw our enterprise sales growth continue to drive forward 9% year-over-year at $334 million, so nice growth continuing to happen within the enterprise space. Our annual recurring revenue, it's really the nucleus of this business that we've been continuing to move more and more of our customers towards $692 million at the end of the quarter. That was up 25% year-over-year. So as that part of our business continues to get bigger, we can see that our gross sales growth will continue to accelerate. From a SaaS enterprise customer perspective are up over 373,000, now SaaS customers, that's up 9% year-over-year. And that's with two sales motions. Number one is we are doing health checks and talking to all of our existing customers. And if it's right for them, we will be upgrading them from their on-premise offering to our SaaS offering. As we continue to land new logos, we're also landing more new logos with our SaaS offering. So both of those are helping us to increase that number of SaaS customers. We're doing a really nice job of getting both broader and deeper within our customer base. It's 68 million protected assets and 29% year-over-year growth. SaaS continues to be quite important for us, and it has been leading the charge from a transformation. But like I said, we are selling in a hybrid environment. But what we can, when we can, we've been actually moving aggressively towards our unified cybersecurity SaaS platform. Our SaaS business is now, well, $108 million at the end of the quarter. We finished up 30% year-over-year growth, and that continues to be one of the major growth areas. So we can see as this continues to get bigger, it will have a bigger impact on our top line numbers. Now if we dive in deeper on what the areas that, that growth came from, you can see it's across all three of the buying centers that I laid out there. We continue to do very well in IT infrastructure operations, up 23%. SOC operations and everything to do with XDR is a whopping 74%, so really, really nice growth there, and that continues. That's been going on. And from a cloud operations perspective at 16% year-over-year, this is softer than what we have typically seen. In fact, the comparable quarter, last year at the same time was up 60%, so we've seen quite a big softening in the cloud operations. We've seen longer sales cycles. We've definitely seen projects are there, but longer sales cycles, more approvals needed. And many customers starting to rationalize their spend with hyperscalers, and we see as they rationalize their spend with hyperscaler, it also means that they rationalize their spend around security relative to that hyperscale, so we're definitely seeing that softening. And that, in particular, is what has impacted us in the Americas. Cloud operations has been our growth engine within the Americas, and we saw that softening the most in the Americas, and that had an impact on both our Americas number and also on our overall annual recurring revenue where that was down a couple of points. A couple of examples. So we thought we would drill into cloud operations a little bit and from a cloud operations standpoint, this is sizable for us. So we're up over 10,500 enterprise customers, that's up 28% year-over-year, and we're protecting six million now cloud workloads and applications. So really nice in terms of breadth. We've been transforming our go-to-market. And whenever you think of the cloud and you think of go-to-market, you can't help but think of super marketplaces. And specifically, the one that we leaned into the most was the AWS marketplace. Really pleased to see this up over 84% year-over-year. We won the Global Partner of the Year Award from AWS for Marketplace last year based on the success we've seen and now the AWS marketplace represents our largest channel to market. In terms of a customer win, this is an existing customer of ours in the U.S. There's software company in the data analytics space. They had a new project, and in bringing that new project on board, they were looking for a little bit more visibility across their infrastructure, but they felt like they had too many tools. And we ended up winning this expansion project and it was displacing CrowdStrike and Rapid7 in this account. So the customer decided to consolidate security tools into Trend and remove CrowdStrike and Rapid7. So a nice example of us expanding with the breadth of our platform. From a SOC perspective, we're up over 8,700 SOC customers now. So we've really been doing a nice job of leaning into this quite heavily, 86% year-over-year growth. And we have an optional package that a customer could pick up, and that is a managed XDR package. And that is because we're seeing this shortage of cybersecurity professionals in the industry continue to really cause challenges for many of our customers. So we are now offering up a managed-XDR offering. So that gives -- in some cases, we might be a second set of eyes with our security practitioners. We might help them with 7/24. We might have to help them with off hours coverage or in sometimes prime time. So that's an offering that we have in place. And because we've seen more and more activity in and around managed service -- managed-security service providers and global systems integrators wanting to actually help customers with this shortage of skill set, we decided to jump in and do even more here. We closed an acquisition in Q1 of small little technology tuck-in called Anlyz, brought us a number of security practitioners, specifically in the SOC space. They brought us a platform that helps us with what's called a SOAR offering. So really a lot more automation that we can build into the security operations center, ultimately with the goal of making our enterprise customers more effective in their SOC. We have an example of winning a customer. This is in the AMEA region, actually in financial services, specifically insurance. So heavy compliance, a lot of security and they had multiple, multiple vendors, and they ended up with wanting to rationalize their endpoint and ultimately deploy an XDR offering, so they could, in fact, get more visibility as to what was going on across their enterprise. We ended up winning this business. We displaced Symantec on the endpoint which we've done many times, but that's -- this is a customer example where we displaced Symantec. And then in terms of competing for the XDR, we competed against Palo Alto, CrowdStrike and SentinelOne, and we ended up winning out against those three. So just to show you the strength of our platform and how that can all come to bear and help our customers. Okay. Over to the consumer business. In this particular case, because the majority of our consumer business is in Japan, we thought we should talk in terms of Japanese yen. We have a long-term plan for this business as well. Our road to 2025 shows JPY 60 billion in gross sales, we feel like is a good target, and that means that we will continue to grow our consumer business. In fact, not only grow, we will also grow the customer base, 18 million paying consumer customers by 2025. And we've really got this focus in on the non-personal computer, the non-PC part of the market. We feel like that represents some open opportunities for us and to help customers out. So we're targeting 25% of our entire installed base to be non-personal computer. Up until now, we've been really focused in on go-to-market innovation, and we've been fixated on new channels to market. So Mobile has been our biggest growth over the last several years, and that will continue as we continue to do well in terms of protecting consumers on their mobile devices. So that's been the biggest part of our growth. We've been looking for alternate channels, in particular, of the telco space in the AMEA region, and we've been doing well at securing a number of telcos, who would like security to be built into their offering. Because we're one of the unique cybersecurity companies that has both an enterprise business and a consumer business and because we all went through COVID together and everybody is still working in a hybrid-work environment where they're working at home sometimes, maybe all the time or they're working in the office sometime. So we found that some of our enterprise customers wanted an offering that would help them with those workers that are working at home. They have their work computer, and that's fully protected. But what about the other devices on that home WiFi, how can they protect those? Well, that's exactly what our consumer offering does. So we're packaging that up for our enterprise customers, and we think that's going to actually be very helpful in terms of driving some more growth within the consumer business. Finally, we continue to do a lot of innovation in around the consumer space. And one of the areas that we're seeing is around identity protection that's an area that we have done -- we have an offering, and we're continuing to expand on that. And then we're doing some very, very innovative things around NFT and what that could potentially mean for the future, so lots of stuff going on in terms of helping us to drive additional growth within the consumer business. From a Q1 performance standpoint, very, very nice growth, up -- for the quarter, we finished at JPY 15.2 billion, that's up 8% -- 8.1% year-over-year and very pleased that we saw growth across all the geographies that we do business with. And in the areas that we feel we've invested in that is around mobile and telco channels being increasingly important to us. We're seeing our AOV start to increase as we expand our overall size of wallet and what consumers are spending with us as we add additional capability within our platform. That's going to be another area that we will continue to grow and expand on. With that, I'll finish. Thank you very much. I hope you found this helpful. I appreciate your time. Thank you.
Operator:
Q - Makoto Ueno: [Interpreted] My name is Ueno of Daiwa. Can you hear me? Please allow me to ask a question. Now in regard to the lowlights of Page 28, and could you tell us more details about this lowlight? And also, in regard to the pre-GAAP. In regard to the decrease, is it because of the cloud operations, security decrease? Or is it because of tougher competition in the Americas that there is a decrease in the cloud operation so that the overall results are down. So in regard to the factors involved in cloud operations and security, could you talk about this?
Mahendra Negi: [Interpreted] Let me go one by one. First, in regard to the cloud operations investments, this was touched upon in Kevin's presentation as well. Up until now, there had been more and more investments made by AWS. But in regard to our customers, they're looking at more efficient ways of utilization. And so AWS net sales have been stagnant in terms of growth rates. And in regard to the second point about the Americas, I mention one point. But another point is the fierce competition that's taking place. Then with the fiercer competition that you touched upon is that the reason why the pre-GAAP growth is low in the Americas? Yes. But there's also the cloud operation security spending situation. Does it look like this will end? What's your feel about this in the Americas? As Eva has mentioned, ultimately, we will be moving forward with the transformation, and we'll be conveying the value of our transformation to our customers to tie this to results.
Makoto Ueno: [Interpreted] And second, I have a simple question. On Page 22, there seems to be an increase in the add-on expenses. Was there something that took place internally?
Mahendra Negi: [Interpreted] Yes, in January. Throughout the world -- we gathered the sales force people from throughout the world. This was an important meeting, and there were expenses there. So this is a temporary thing.
Makoto Ueno: [Interpreted] And does this end this year?
Mahendra Negi: [Interpreted] We're doing this annually.
Makoto Ueno: [Interpreted] What about for the quarter?
Mahendra Negi: [Interpreted] No, we will not see this in the third quarter and the fourth quarter. There may be some other different event that occurs but in regard to the sales event itself, that will not take place within this fiscal year. That's all from my side. Thank you very much.
Operator: [Interpreted] Thank you very much for your question. Next [Operator Instructions]
Satoru Kikuchi: [Interpreted] Yes. SMBC Nikko Securities. My name is Kikuchi. I was going to ask basically the same two questions as Ueno-san, I think this is everybody's interest. As far as expenses goes, head counts did not increase this time. Well, actually, it's higher than last year but from the second half of last year it is not really increasing in terms of expenses, maybe because of seasonality, and we want to know what happens next. So the company plan was underachieved last year. And if you repeat the same process once again, you would lose the trust of the stock market. I understand that you may be thinking that it's more important to increase business. But the company has planned the budget -- in order to achieve that without fail, are you going to control your expenses? Is that the plan or intention?
Mahendra Negi: [Interpreted] Last year, we could not achieve the target, and we explained the factors behind us last year. We have the upfront investments, and over the short term, profit is not necessarily everything. So we may not be able to achieve the profit target for the short term. But for transformation, we want to capture the new opportunities, and we have to make investments. And that will turn to future profit. And I will try to -- we will try to explain the situations of these meetings. And we already have a forecast for this year. And we expect to be able to meet that plan. But if there are any changes going forward, we will try to provide explanation.
Satoru Kikuchi: [Interpreted] I see. So through the transformation, if anything, is going to increase, is that going to be mostly head count related, payroll-related?
Mahendra Negi: [Interpreted] Well as -- maybe, Eva should explain this, but -- I, for example.
Eva Chen: Yes. I'd like to take the chance to address those questions. The first one is talking about the U.S. and also the cloud operation revenues not achieving. I think we do see that in the past two quarters, because of the economy, because of all the macro situation, we see the slowing down of customers. Moving their on-prem infrastructure on to the cloud, which is our major -- before that was our major cloud operation revenue growth coming from. So that part of slowing down is just -- the project is slow, they don't move those on-prem infrastructure onto the cloud and therefore, the spending on the cloud operation security is less. But at the same time, we're seeing there is a huge demand for those cybersecurity -- pure cybersecurity operation centers budget is increasing. And therefore, we want to switch all our efforts, both on the field and on the R&D side on to the security operation centers investment, which is in our product is Vision One. And you will see that we are -- during the switching of the resources, both in the R&D side because of different capability or expertise that we need to hire new people that is more specific to the security operation centers knowledge and expertise; on that part, we will increase the investment. But at the same time, of course, on the cloud side, we will try to control and see how it can switch those expertise onto the SOC side, not just letting them go. So those are the resources switching time that we were doing. It's not about we slowed down the hiring or anything, but it's the expertise, are different, and therefore, the human resource profile has to be switched. At the same time, we're also seeing this very important AI, new type of OpenAI, the large language-processing capability that we should be analyzing and using. And therefore, we did slow down some of the hiring so that we can better see how we can better utilize for this OpenAI and this new capability of using the AI as our application development platform. So those are the moving and the change in our investment area. I will say -- I'm very happy to say that we believe that our switching to security operation centers average is starting to kick off and our investment in our OpenAI, very quickly in July, we will announce an AI-based security operations centers Vision One, which is very powerful, and we believe that would enable our customers to use this AI platform to achieve better cybersecurity operations. And those was achieved within two quarters. That is showing our investment in the AI and in the human resources expertise part, is really at the right place and rework.
Operator: [Operator Instructions]
Unidentified Analyst: [Interpreted] Now there has been an explanation from Eva, and I understood very well. Now I'd like to ask about the U.S. and I understand that the ARR is growing there. And in pre-GAAP, there was slightly negative results, but there is growth. And in regard to the pre-GAAP revenues, it is not as high as before. When we look at the revenues on an accounting basis, it's not going to be that great negative factor? Or is it the case that the pre-GAAP fluctuations are going to impact revenues, which should it be?
Mahendra Negi: [Interpreted] The pre-GAAP impact is not going to be eliminated completely. But as you say, when everything goes to subscription, then at that point, they change the situation with pre-GAAP. Everything in SaaS is not paid on a monthly basis based on the circumstances of the customer, there may be three-year contracts, and there may be impact not felt on the pre-GAAP until then.
Eva Chen: I also want to add something to that. When I talked about our investment in the security operation center and the new product Vision One. That Vision One's revenue is totally SaaS-based and is over the ARR, and also it's all paid by subscription. So it will -- it will have the same effect as for the pre-GAAP will be smaller because it's not multiple year deal.
Operator: Thank you very much for your question. [Operator Instructions]
Hiroko Sato: [Interpreted] This is Sato speaking. Can you hear me? There's only one question. In regard to the first quarter results -- for the internal numbers, this is quite good. Do you think that something was lacking? Or was it satisfactory? And in terms of operating income, previous times, we understood that there were several points that were completely open but in terms of the operating income, it was around JPY 7 billion. I thought that it would be JPY 7 billion to JPY 8 billion, but now you have JPY 9.5 billion in operating income. And probably the difference is in the area of the salary and benefits -- that may be the big difference I thought. But how should we perceive this, please tell us?
Mahendra Negi: [Interpreted] Yes, I mentioned this in the session, but it was according to what we forecast. And we have to look at the prior investments made in the Japanese market. They were disappeared in the first quarter. And then after the second quarter, it's going to be a negative impact, and so we have to look at that. But if we look at just the first quarter, we have seen this situation.
Hiroko Sato: [Interpreted] I see. In the first quarter, I thought there was JPY one billion offsite costs, but this JPY 9.5 billion is quite a good effort but then it may not necessarily be the case. Well, we don't necessarily feel that way. Compared to the second and third quarters of last year, it was around JPY 7 billion to JPY 8 billion. So I thought that the numbers would go down to that extent, but it didn't go down that much. But then you have decrease of the head count by 45%, so I thought that this was the biggest impact. But do you think that there was the prior investment impact.
Mahendra Negi: [Interpreted] Yes. In regard to the cost, we're trying to be more efficient about our usage. So we are working and making efforts there, and we want to continue to increase profits. When it comes to -- as Mr. Negi has mentioned, there was the demand because of the demand situation. And so therefore, the impact on the profit was not that great. And when we look at this on a pre-GAAP basis, it may seem that this has increased the profits considerably. But if it's on an accounting basis, I believe, that the impact was limited. And we were able to keep down the expenses. And in areas outside of salary and benefits, we did not spend that much. Once again in the [indiscernible] let me ask further questions. Thank you.
Operator: Thank you very much.[Operator Instructions]
Hiroto Segawa: [Interpreted] This is Segawa, from Morgan Stanley Securities. Can you hear me?
Mahendra Negi: [Interpreted] Yes, we can.
Hiroto Segawa: [Interpreted] Sorry about the last time. I have two questions. Well, U.S. pre-GAAP declined, 10% down year-on-year, which is a huge decline. If you look at other securities company's earnings in the U.S., in the tough macro economy, they are really trying to reduce the cost, control the costs. But you also mentioned fierce competition compared to three months ago, six months ago, is the competition getting definitely fierce? It is getting more difficult? Can you please explain the situation in the United States. That's my first question.
Mahendra Negi: [Interpreted] Thank you for your question. I spoke about competition, but it's not just related to the cloud investment. I think the competition is basically unchanged but there is a new factor, which is cloud operation investment deceleration which was explained by Kevin too. So -- and if you combine these two factors, unfortunately, it translated into this decline, 10%.
Hiroto Segawa: [Interpreted] I see. Second question, the situation is quite tough in the United States. But in Europe, Asia, Middle East and Africa, strong growth is still continuing. So current level of inquiries and future outlook, are there any things that we should be concerned about or look out for?
Mahendra Negi: [Interpreted] Cloud investment deceleration, is this going to be more broad. Will it spread. That's one potential concern. But AMEA, Europe will grow faster than America. That's what we expect in our outlook -- faster than America or Japan.
Hiroto Segawa: [Interpreted] I see. You look at the Asian region, you are saying basically that there is nothing for us to be concerned about at this point in time?
Mahendra Negi: [Interpreted] Yes, that's correct.
Mahendra Negi: [Interpreted] Are there any other persons who would like to ask questions? No more questions? There does not seem to be any more questions. So we would like to close off the Q&A session.
Operator: Please go ahead, Eva- Chen.
Eva Chen: I would just want to say, I think, the reason that U.S. is hit harder is because for Trend Micro's business, our U.S. is more relying on the cloud operations side of the revenue growth versus other regions is actually more balanced. So we're not overly relying on the cloud and SaaS business growth, so that's why this time when the cloud operation slowing down, U.S. is hit and affected most, but the other three regions is not as hard.
Operator: Thank you very much.
Eva Chen: Thank you.